Operator: Good morning and welcome to the First BanCorp second-quarter results conference call. [Operator Instructions]. Please note that this event is being recorded. I would now like to turn the conference over to John Pelling, Investor Relations Officer. Please go ahead.
John Pelling: Thank you, Kaylee. Good morning, everyone and thank you for joining First BanCorp's conference call webcast to discuss the Company's financial results for the second quarter of 2015. Joining me today as always are Aurelio Aleman, President and Chief Executive Officer, and Orlando Berges, Executive Vice President and Chief Financial Officer. Before we begin today's call it is my responsibility to inform you this call may involve certain forward-looking statements such as projections of revenue, earnings and capital structure as well as statements on the plans and objectives of the Company's business. The Company's actual results could differ materially from the forward-looking statements made due to the important factors described in the Company's latest Securities and Exchange Commission filings. The Company assumes no obligation to update any of these forward-looking statements made during the call. If anyone does not already have a copy of the webcast presentation or press release issued by First BanCorp you can access it at the Company's website FirstBankPR.com. At this time I would like to turn the call over to our CEO, Aurelio Aleman. Aurelio.
Aurelio Aleman: Thank you, John. Good morning, everyone and thank you for joining us again to discuss our second quarter. On the call with me today is Orlando Berges, our CFO. Orlando will cover most of the details of the financial results and I will walk you through some of the important highlights of the quarter. Please move to slide 5. Before I cover some of the details I think it is important allow me to summarize some very important highlights for this quarter. It was another busy quarter where we made several important strategic announcements that continue to show our continued progress. First at the end of April we previously announced the lifting of the consent order from the FDIC. Second, at the end of May we announced an accelerated derisking transaction that-- it cost some capital but it really drove our risk profile and significantly reduced our nonperforming assets by approximately $110 million. And third, at the end of June we released our [indiscernible] results which show strong results in capital, the analysis showed the strength of the balance sheet even in a severely adverse economic environment which really is not the scenario that we are in today and even despite that we are living here in Puerto Rico today. During the quarter we also successfully completed the integration and rebranding of Doral customer's branches and the mortgage portfolio an operation that we acquired during the first quarter. This transaction further solidified the franchise and our market position as the second largest bank on the island in this market. And we should continue to see good benefits as we [indiscernible] on these customers and we use this expanded branch and ATM network. Please let's move to slide six so we can cover some additional detail. It was a net loss of $34 million as we announced last night and primarily driven by the previously announced bulk sale, or how I call the affiliated de-risking transaction which we have done a few of this-- previous ones were done in 2013. On the other hand this transaction, as I said concluded two important in [indiscernible] reduction. The other extraordinary items most important are the OTTI charge, Orlando will cover that in detail related to the position [indiscernible] that we have. And that really [indiscernible] some noise in the expense lines which we consider events of the quarter that related to the Doral acquisition and some other capital planning initiatives and again there are some new slides in this deck to explain-- further explain some of that. I think most importantly adjusted net income show-- continues to show stability in the core franchise and the core metrics continue to show the strength. Loan portfolio declined primarily driven by the loan sale and some senior repayments and participations in Puerto Rico that said originations were solid in both markets. Florida grew very strong elimination results on the commercial side and also Puerto Rico on the new market share increase on the conforming mortgage front which also contributed to that. We continue to focus on growing Florida and as we did with the challenges on the island and we also-- we also see some opportunities in the ECI, Eastern Caribbean region, which we have a strong franchise there and we have a more stable economic environment now, which is showing some improvement also. NPAs, nonperforming assets, decreased by $109.9 million to 644, the lowest ratio we have seen since 2009, which is encouraging and inflows declined primarily by PREPA that happened in the prior quarter. And most importantly, as of June 30 delinquencies are stable across all the portfolios including the consumers. Core deposits declined primarily by pricing strategies in our Florida book, but core deposits in Puerto Rico remained relatively flat during the quarter. But on the other hand, we declined the -- we were able to reduce the overall cost to around 61 basis points. Again, also the lowest we have probably in the history of FirstBank. Our capital levels are very, very strong and our risk profile [indiscernible] and client base expanded during the quarter. So we are very pleased with the results of the quarter. Please move to slide 7. I did -- we provide more some detail in the loan origination or loan portfolio side. We have also reduction in the loan book, as I said, primarily driven by the [loan sale]. And when you look at the origination activity on the right graph we can see consistent level of originations. If we look over last year and if we compare even to same quarter last year we continue to have what we consider conservative policies on the origination side and we continue to look for opportunities to grow in the Florida market. The pipelines are stable in Puerto Rico and are improving in Florida. And we look forward for the second half of the year to be able to achieve same level, similar level in the range that we are today. Page 8 -- please move to page 8, the deposit mix. As -- we obviously -- year to date it has been a good run in the first half of the year on the core deposit front, the franchise continued to get stronger. We did some adjustment to pricing strategies to rebalance and continue to focus on growing the non-interest-bearing portion. The [government] deposits also achieved an increased in the second quarter; some of it related to the Doral acquisition, some of it related to the strong relationship that we continue to have with municipalities. And more importantly, we continue to reduce our reliance on the broker CD book, which we achieved another decline this quarter close to $240 million. Now let's move to slide 9, our government exposure. I'm sure everyone is very interested in this topic today. As we all know, the Puerto Rico situation continued to face hurdles and not all the conclusions are there today. We continue to work with the parties to learn more and understand the plans, get as much information as possible to continue to reassess. And the most important next step is the government to share the plan and provide more clarity to the market. Our exposure remains at similar levels, just down a few million from prior quarter, but that really at similar level. So we took the charge on the securities and we will cover that in more detail later. And progress has been made on the PREPA side, the PREPA negotiation. It is a lot of public information going around on that. And on the other part we feel very comfortable with our exposure to municipalities. These municipalities are well-managed entities that have strong source of repayment assigned to our [pay] facilities. I have to tell you that we are very confident of our capabilities, the strength of the franchise. We will continue to execute in our business plan in this environment. We have done it before, the team has experience, and we know how to manage type of adversity. This is not necessarily too much different to what we have been doing. Now let me hand the call over to Orlando so I will come back to the [indiscernible].
Orlando Berges: Good morning, everyone. As Aurelio mentioned, the second quarter showed a net loss of 34.1 million, it is $0.16 a share compared to 25.6 million gain in the first quarter of $0.12 a share. The results however include a number of significant unusual items that affect comparability and I want to walk you through the different components to further attempt to put together what is a more comparable result with the prior quarter. The first item Aurelio touched upon, we had a 48.7 million loss on a book sale of assets. As we had disclosed earlier this quarter, we completed the sale of nonperforming adversely classified commercial construction loans with a book value of 147.5 million, as well as some OREOs with values of 2.9 million on a cash transaction. The sales price was 87.3 million. The impact was mostly on the provision where we had 46.9 million, but there were also a couple of components [indiscernible]. There was one held for sale loan where the impact was booked through the other income line items, as well as the OREO loss that was booked through the expense line items. If we exclude the 46 million -- 46.9 million impact the provision for the quarter declined $5.7 million compared to the prior quarter. I'd like to make reference to page -- if you go later on you can see page 4 of the press release, you can see there some details attempting to normalize and eliminate some of these components from the different categories. The second large item we had in the quarter also Aurelio touched upon it, we had a 12.9 million other than temporary impairment charge on the Puerto Rico government securities. We conducted a quarterly analysis and based on the length of time the securities have traded below par and all the circumstances in the market, we deemed a portion of the market valuation as credit related and took a charge of that component. The full valuation, as you know, has always been through the other comprehensive income line item in the capital that a part of that move to income line. So recurring amount only changed for market valuation at the end. Also the results for the quarter include a pretax cost of 2.6 million related to systems conversion which we completed in the second quarter, specifically at the end of May, for all the loans and deposits that we acquired from Doral. We also had some expenses on this in the first quarter. But in addition to that there were a few other things that I would like to touch upon. The quarter had 2.4 million in interim servicing costs related to Doral for the loans and the profits. These interim servicing costs were paid up to conversion day, meaning the end of May. The lead back on the transaction took charge of handling all the systems, processing and servicing all the different parties involved in the transaction. And as part of it a pass-through cost of all the centralized Doral expenses including systems processing, including central buildings and things like that were allocated at each of the parties. Upon conversion those expenses went away and were replaced by our normal ongoing operating costs which basically for those same services are basically 410,000 a month. So in essence the 2.4 million represents 1.6 million of excess servicing costs. I would like to clarify that these are not all the costs associated with Doral, because we are already paying directly all the things like occupancy expenses, we were paying directly for the branches acquired, the employees we hired are as part of the transaction or to support the cycle of the institution and so on, those were already into our expenses. The first quarter did include some interim profits also of 1.2 million, so it is about 800 excess in the first quarter. The quarter did include also 1.3 million in professional fees that were special projects for strategic to testing capital plan and, et cetera, that we don't expect to incur in similar costs in future quarters. When we look at reported amount, we reported a pretax loss for the quarter of 43.9 million compared to a gain of 33.7 million last quarter. If we adjust the pretax results to eliminate the effect of these items that are not expected to be incurred on an ongoing basis, which include all the items I just mentioned, as well as we eliminated the bargain purchase gain we had in the first quarter as part of the Doral transaction, the results for the quarter would show a non-GAAP pretax gain of 23 million compared to 23.1 million in the first quarter. So it was very comparable. I’d also like to point out the pretax pre-provision result for the quarter -- for the quarter were 47.7 million. But if we had just those to exclude the excess interim servicing costs that were not eliminated on that number or the other professional fees that are not considered to be incurred on an ongoing basis, the pretax pre-provision would have been 50.6 million for the quarter compared to 56.3 million in the first quarter. Net interest income, obviously a large chunk of our earnings component, was 125.6 million for the quarter, an increase of 800,000. Margin for the quarter was 4.18%, remained unchanged from last quarter. The increase was a mix of first we had a 2.8 million increase in interest income on residential mortgages, basically full quarter impact of the loans acquired on the Doral transaction. And we had a 1.7 million decrease in expenses which I will touch upon. On the other hand the -- on the investment side we had a 1.6 million decrease in interest income on U.S. agency securities because of the large prepayments we had in the quarter. Also commercial and consumer interest income was down 1.5 million. Sorry, commercial was down 1.5 million, consumer 800,000. Commercial basically relates to 900,000 of interest income we will get -- we get as interest or principal on the PREPA loan and 600,000 of interest income loss on the loans that were sold as part of the bulk sale. As well as some impact on the reduction on average balance outstanding repayments that Aurelio mentioned. On the consumer side it is volume related, $800,000 down related to a $44 million decrease in average loans, primarily auto loans based on market volumes. Originations have been there but as Aurelio showed, but not to replace the normal repayment components of the portfolio. The interest expense reduction, I mentioned two large chunks. Number one, we had mentioned in last quarter we have been restructuring some of the repos. So this quarter we had the full impact of the $400 million repos that we restructured in the first quarter. But in addition we, as part of our restructuring on one of the other components, we entered into a repurchase agreement a reverse repurchase agreement with one of the counterparties we just met present the net in here, that impact was $800,000. The overall repo costs went down by $1 million as a result of those restructurings. Deposit interest expense is down $700,000, that is after the effect of the additional approximately $200,000 we had for the full quarter impact of Doral. And it is mainly two things, the decrease in broker CDs, average broker CDs are down about $299 million in the quarter and adjustments on the interest rates paid on interest bearing deposits. Aurelio made reference to it already, we our cost of funds, overall cost of funds went down to 61 basis points on deposits, meaning from 66 basis points. So on interest-bearing it's down 4 basis points to 73 basis points. So we had significant reductions on an interest component. On noninterest income we some noise in there for the components that we separated, but the numbers show the improvements we are expecting from the strategies and the acquisitions. Overall non-interest income was for the second quarter was $11.5 million compared to $32 million in the first quarter, but that has a lot of the noise I discussed. Specifically the $12.9 million OTTI charge on the government went through this component. $600,000 of the loss on the bulk sale on the held for sale loan went to this component. Also the first quarter had the $13.4 million bargain purchase gain on the Doral transaction. So if we exclude all these items, noninterest income is up $800,000 as compared to last quarter. Two large things that first of all, mortgage income, it is Mortgage Banking income; it is up $1.1 million. That is with the acquisition of Doral and the acquired sales forces. Our originations on mortgages went up by over $40 million in the quarter, most of it conforming paper that was sold. So we had $36 million more in sales of conforming paper that we sold at an increase of $1.1 million in mortgage banking income. Also from the volume of deposit accounts acquired in the Doral transaction we had $600,000 more in service charges and $300,000 more of other fees, that is a full quarter impact of that transaction. Important to mention the first quarter included a onetime I mean onetime because it happens once a year every first quarter. Basically we get a contingent commission payments on the insurance business based on production for the prior year. That number was $1.5 million in the first quarter, which obviously increased the result for that quarter and affect comparatives. Without that basically we had over $2 million pick up on other income items in the quarter. On the expense side you saw that non-interest expenses in the quarter were $102.8 million which is $11 million higher than last quarter. And with this table we are segregating the different components to show the significant unusual expense items separately for each of the quarters. Specifically second quarter includes the nonrecurring acquisition conversion costs of Doral, they were $2.6 million. Both were $2.1 million in the first quarter. The excess interim servicing costs that I mentioned, total interim servicing costs were $2.4 million, the excess was $1.6 million in the quarter and for the last quarter would have been $800 in excess. The $1.3 million in professional fees that are not considered to be ongoing costs and as well as $1.2 million in expenses related to the bulk sale of the loans included the OREO component. We take those out, non-interest expenses were $96.2 million compared to $88.8 million in the first quarter. A large chunk of the expense increase relates to the full quarter impact of Doral, but let me walk you through the higher component the larger components. Our credit-related expenses are up to $2.3 million, most of it a large chunk of it is OREO expenses are up $2 million, and this was a valuation on one large OREO property we have on the books that we lost one large tenant on the property and affected significantly the value of that property. That was a $2 million impact for the quarter. Employee compensation was about $2.2 million. That is a large part due to salary increases that we do once a year affected the quarter by $1.4 million. That includes-- the 1.4 million includes a lump sum payment that happened once-- only one time in the year of $200,000, so the ongoing number it is a little bit less than the $1.4 million. Also we had full quarter impact of Doral on salary-- on the salary side was over $400,000. In addition to that the quarter had one extra day that is always [indiscernible] we pay biweekly and that creates variability a number of days. There was one extra day on the quarter that represents over $400,000. On the occupancy side increase of 800-600 that is related to the properties-- branches basically acquired from-- as part of the Doral transaction that we have full quarter impact on that. Business promotion also shows a break up of $1 million in the quarter. This promotion has seasonality; there are a lot of marketing campaigns that are done in the summer time on the credit card and personal loan business. At the end of the expense for the year it is the budget we do and we always stick to that but there is some variability between quarters because of it. In other expenses basically we had 800,000 increase which includes 300,000 of core deposit intangible amortizations on the Doral transaction and 300,000 in other things like communication, supplies and so on also related to Doral. So the main questions are typically where we expect the expenses to be. I think we feel expenses, except for the variability created by credit created components that there is still some uncertainty in the different components but they should be in that 95 million to 96 million range. We feel that that should be a non-operating. We have done a number of things to reduce expense components now obviously we have now full quarter impact of Doral. You go back to the presentation we put out upon the acquisition of Doral we estimate Doral-related expenses operating expenses are going to be in the $10 million to $12 million range for the year. And we still feel that is the number that is applicable. And that is part of the 95 million to 96 million range. Going to asset quality, Aurelio already touched upon there, but we had a $110 million decrease in nonperforming assets. Nonperforming are now $644 million at the end of June, Nonperforming loans decreased by 107 million and OREO decreased by 3 million, and reduction in loan-- nonperforming loans was 17% for the quarter. If we exclude the bulk sales the nonperforming still decreased by 15.2 million, which is a combination of loans brought current, charge-offs and collections we had in some of those nonperforming. Inflows of nonperforming were 44.9 million, a decrease of 74 million compared to the 119 million we had in the prior quarter which was largely driven by the PREPA loan the 75 million PREPA facility that was moved to nonperforming last quarter and put as interest to principle. OREOs decreased by 500,000 which is driven by 9 million in sales and some adjustments that included the bulk sales. A couple of other things adversely classified commercial loans decreased by 93 million or a 19% reduction. That is a net effect of bulk sales of 146 million of loans that were classified and we had a migration of a 44 million facility that is a Shared National Credit and it was classified at the lead bank and so we are required to follow the lead bank classification and the regulator assessments on the lead bank process. TDRs went down also we sold a number of TDRs as part of a bulk sale transaction and they are down 70 million or 10% from March. If we look at charge offs-- charge-offs were basically 79 million or 3.35% of loans. But that include 61.4 million related to the bulk sale of the assets. Excluding the bulk sale charge-offs were 17.4 million or 75 basis points of loans compared to 29 million or 125 basis points in the first quarter. Decreases were in consumer loan, charge-offs were-- net charge-offs were down 4.8 million, which is a combination of reduced charge-offs and we sold 2.7 million of our previously charged off loans-- we sold a lot more, we got 2.7 million recovery out of the sale of those previously charged off loans, which is net of the-- percent of net of the overall charge-offs. Commercial and construction net charge-offs were down 5.2 million basically in Puerto Rico and includes also a [loan lost] recovery of $1.6 million in the Florida market. Residential mortgage charge-offs, net charge-offs were down $1.8 million in the quarter. At the end the allowance, the [rate] of the allowance remained at [2.40] compared to [2.38] last quarter. And it now represents 47.8% of nonperforming compared to 40.1% last quarter. Again, the sale of -- the bulk sale we eliminated a number of those bad cases which improved the ratios. The remaining nonperforming commercial loans are now carried on the books at $0.62 on the dollar. They are down to $303 million. Our capital position remains strong. In fact, while you see that the Tier 1 ratio went up to 16.37 from 16.15 even though we did have a loss in the quarter. But in reality we also had significant reduction on risk weighted assets because of the number of nonperforming and classified loans that we sold in the quarter. So the improvement reflects that changing [weight] of the asset. Capital ratios again remain really strong with a 19.4 total capital and 11.9% of leverage ratio. The common tangible equity ratio is $12.6 million in the quarter from 12.3 -- not 12.3 -- 6 million, 12.6% compared to 12.3% last quarter. So all the strategic efforts continue to show in the strength of the franchise and the capital position. And I'd like to turn the call to Aurelio and we'll take any questions you have on all this a little bit later.
Aurelio Aleman: Thank you, Orlando. Before opening the Q&A session I want to point out something that we have put on slide 20. These are really important metrics that show how our franchise improved during a challenging cycle and we cover here our prior five years where definitely it has been challenging and we all know that in Puerto Rico. On the other hand, when you look at the metrics we -- across all important core metrics as a quality capital on the core franchise, they all show significant improvement. Definitely the diversification of the region is also an important component. Florida, it is getting stronger and growing and the Eastern Caribbean region also is showing some stability and opportunities. To say that our franchise has never been stronger and is really poised to increase shareholder value. Obviously we all know that we are disappointed at the level the stock is trading right now, well below its book value. Well, with that summary I just want to open the session for questions. Thank you to all.
Operator: [Operator Instructions] Your first question comes from Brian Klock with KBW.
Brian Klock: I thought what was interesting is thinking about all the headlines that you read about Puerto Rico and the economy and the macro situation. Looking at slide 5 of your slide deck, a pretty busy quarter for you guys where you hit a lot of milestones. The consent order lifted, continued derisking of the balance sheet, Dodd-Frank stress test, the DFAST results are very strong and then integrating the Doral branches that you acquired. So all that stuff going on, but yet the origination numbers are probably the best we've seen in a while. So I guess, Aurelio, maybe talk about the thought process of going into the next -- second half of the year. It sounded like you are pretty positive on that momentum in originations continuing. So maybe just kind of highlight a little bit more where you think the growth is going to come both in the Puerto Rico and the Florida franchises?
Aurelio Aleman: You know, one thing, Brian, obviously in all honesty the headlines on the markets are much more negative than what the activity that is going on in the island. And we continue to have 3.6 million people in Puerto Rico, we continue to have businesses, mortgage origination, model sales and activity going on and tourism metrics that show stability and improvement. So, there is activity, yes, there is a challenge on how the government is going to manage their finances and could have an impact on the economic front. But we continue to get focused. Remember from our industry point of view we are dealing with a less competitive environment. I'm not saying it is not competitive, but we are less number of players, first of all the year [indiscernible] consolidation and we benefited from that one. And we have now a larger branch network, more origination channels. We kind of did not increase in certain products like the commercial in Puerto Rico, but we are increasing the mortgaging conforming paper actually which is the one that we originated on selling in the secondary market. So see originations in Puerto Rico, we are targeting to remain stable. It doesn't necessarily mean that the Puerto Rico portfolio is going to grow. We feel that we can grow the Florida portfolio and we can actually grow the Eastern Caribbean portfolio. But the expectation is not that we're going to be able to grow Puerto Rico this second half. I think this quarter it is very definitive in looking at the government plan and make sure that the economic activity is not interrupted by the actions that are going to be taken which we are not completely clear of what it's going to be. We continue to focus on the franchise fronts and look for opportunities. And we have done that and prior cycles and we continue to focus on that going forward.
Brian Klock: Okay, thanks for that extra color. And just as a follow-up, the margin was pretty solid too, one of the stronger margins among banks of your peer size. I guess talk about the thought process going forward and the ability to kind of continue to protect the NIM. Obviously there was some of the bond premium amortization in the PREPA loan impact. But I guess going forward from here can we keep the margins stable or, Orlando, what is your outlook for the net interest margin?
Orlando Berges: Margin pressure is going to be there, Brian. Keep in mind that obviously the consumer portfolio, even with originated levels have gone down, that's a high yielding portfolio. We expect stability on the yields on the mortgage side on what we have in portfolio. And there could still be some opportunities on the funding side, but we have been lower in our funding side. So I won't tell you that it can be improved from where it is at this point, a little bit of pressure. But we do expect it to stay above 4% and probably above the 4.10% -- 4.18%, it is a pretty good one and we managing to try to keep it. But I see some pressure still on the margin because of the consumer portfolios.
Brian Klock: Okay, I mean that is fair enough. And thanks for your time, guys.
Operator: Your next question comes from Alex Twerdahl with Sandler O'Neill. Please go ahead.
Alex Twerdahl: I just had a couple questions here on credit here. First off, can you just give us a bit more color on that $44 million SNC that you guys had? Is that -- was that moved onto adversely classified as a result of the SNC exam? What kind of a loan was it? And how big the entire SNC exposure is for you guys?
Orlando Berges: That loan was yet as part of the exam was lower to adversely classified. It is a large facility, I don't know the size of the overall facility it is, but its customer information and we cannot disclose specifics on the customer. But it’s a large facility that has been working out with the different banks. A lot of things have been done with that facility. And we feel that down the line that facility could come back to a better classification. But in the meantime and with all the noise it is a CRE-related kind of facility. We understand that part of the movement on the regulators, although we feel that there is some strong components of that loan that could go either way. But in the meantime it is still performing and we are getting paid on the loan and we feel that it is going to stay like that.
Alex Twerdahl: Okay. How big is your total Shared National Credit exposure?
Aurelio Aleman: We can get back to you with a firm number, probably it's going to be on the Q, but it is probably around 300 million. It hasn't grown or it hasn't really achieved any growth. It has been in the same range that we have been having for probably the past five years. Most of these facilities are legacy credits that are in the portfolio.
Alex Twerdahl: Okay. And then on the slide that lays out your exposure to the government, you have 131 million of indirect exposure to the tourism development fund. Are there any loans that you have to hotels that are being paid out of that fund right now?
Aurelio Aleman: Out of the 131 million is about four facilities, three facilities. And a portion of those payments is being paid by the fund, not -- this is a secondary source of repayment, it is not the primary source. The borrower is the primary source. And the secondary source of repayment comes from this fund. It’s a protected fund which we view -- we analyze the liquidity of the fund on a yearly basis. It's a structure that has been operating for a long time, obviously understanding that one of the government priorities is tourism. And they really have to share with you that the revenue that the government gets for these hotels, it is much more than the expense that comes out of the fund to support the credits, because they get revenues on the casinos and they could revenues on the other taxes.
Alex Twerdahl: Okay. But do you have any loans right now that are not paying by the primary borrower that are being supported by that fund?
Aurelio Aleman: Partial payments are being provided by the fund, which is the remaining portion to complete the debt service. But the primary cash flows comes to the bank and the secondary cash flow is the subsidy.
Alex Twerdahl: Okay, is there a way to quantify how?
Aurelio Aleman: They are paying I'm sorry?
Alex Twerdahl: Is there a way to quantify that exposure of customers that were part of the payments coming from the fund?
Aurelio Aleman: Well, the primary focus is real estate, it is the facilities on the hotels, which is and we have the cash flows of the hotels before that. And then comes the portion of the payment that is not covered by the cash flow and that is what comes out of the fund. So that really the primary exposure is supported by the real estate by the real estate of these hotels.
Alex Twerdahl: Okay. And then just my final question, is there a way for you to quantify or at least give some general color on your exposure to customers who are dependent on the central government?
Aurelio Aleman: We are actually working on some of that and we have not disclosed that to the market. But as soon as we have that data validated we will. It is something that we monitor as part of DFAST. We stress the portfolios in different scenarios and we stress the whole government portfolio in different scenarios. But aside from that we monitor government employees that are in the different consumer businesses and we monitor we manage individual commercial relationships that depend on cash flow as their primary source for servicing the government. And that is part of the monitoring that we do and we don't and we monitor it on a quarterly basis to see if we see any specific price. You can argue that we need to see what is going to happen here, but in a normal liquidity event that we that is not the one that we are expecting at this stage could happen. But obviously it is either some of the cash flows that are incremental we haven't seen the explanation of it how it is going to come into play and those covers, the new tax the new sales tax increase and covers the gas tax. So obviously over the next couple of months, Alex, it is something very important, especially August, where we get better explanation of how the government is planning to use those cash flows. And that is why [Indiscernible] that will come to the market with our sense on that type of exposure.
Operator: [Operator Instructions]. Your next question comes from Taylor Brodarick with Guggenheim Securities. Please go ahead.
Taylor Brodarick: Great. Thank you. I guess first question would be, in your discussions with the Fed about the written agreement, is there a quantitative metric that you are sort of working towards, whether it is, hey, we need to get NPAs to this level to get better clarity of when that could be lifted? Any detail you could provide would be great.
Aurelio Aleman: Well, if you the [Indiscernible] are public documents, the conversation with the regulators are private. But if you read the agreement, the agreement was we enter into an agreement exactly at the same time that we entered into the FDIC. There is nothing in that agreement that we have not complied with if you go back to the agreement. From our perspective it is a process matter. And obviously conditions in the market in Puerto Rico I have to say that it's obviously from the execution of our plan of strategy hasn't been has not been any limitation.
Taylor Brodarick : And then as far as PREPA, your exposure there, have you disclosed or going to disclose in your Q kind of what you provisioned against that credit?
Aurelio Aleman: No, we don't.
Orlando Berges: We don't typically provide specifics on a loan. Important things we do have a reserve, a specific reserve on the loan and, as I mentioned, Taylor, we have been booking our interest to principal on the loan. So the principal at the end of June came down from the 75 to 74.1 outstanding amount. And as we continue to collect payments we will continue to go with actual cash collections.
Taylor Brodarick: Great. Thanks. And then on the brokerage CDs, it looks like probably the next six months to a year have got sort of a lift in the amount that is going to be coming off the books. Do feel good about your core deposit gathering being able to sort of replace that and just where your funding is over the next year.
Orlando Berges: We have had a strategy to reduce the brokerage CDs and increase core deposits for some time now as you have seen on results and that strategy continues. We have for the first half of the year Aurelio mentioned that we have had good success in Puerto Rico, separate from Doral. Doral has been a larger number and we hope to continue with those strategies and slowly but surely get it in capture in some of the market components to help us to continue with that strategy. So far we haven't seen anything that tells us differently. And we should continue pursuing those increase in core deposits and reductions in brokers.
Taylor Brodarick: And then last question, just looking at the property tax revenue exposure. Anything changed that you have noticed with real estate values just given the heightened scrutiny on the macro situation?
Orlando Berges: Real estate values are still seeing some reduction in some sectors of the market but that does not affect property [indiscernible] revenues in Puerto Rico, Taylor. The property taxes are based on a scale of-- I don't remember exactly but it is 1960 type prices in the mid-60s, so the base that is used to calculate and charge property taxes won't change for market value of the properties as the way the system is structured today. So any changes in values today won't change the property tax revenue component because of that-- just because of the change in value.
Operator: That does conclude First BanCorp's second-quarter results. Thank you for attending today's presentation. You may now disconnect.